Operator: Thank you for standing by. This is the conference operator. Welcome to the Torex Gold Resources Inc. First Quarter 2021 Results Conference Call. As a reminder, all participants are in listen-only mode and the conference is being recorded. After the presentation, there will be an opportunity to ask questions. [Operator Instructions]. I would now like to turn the conference over to Dan Rollins, Vice President Corporate Development and Investor Relations. Please go ahead, Mr. Roland.
Dan Rollins: Thank you, operator and good morning, everyone. On behalf of the Torex team, welcome to our first quarter 2021 conference call. Before we begin, I wish to inform listeners that a presentation accompanying today's conference call can be accessed under the Upcoming Events subsection within the Investors section of our website at www.torexgold.com. A copy of the presentation can also be found on the website under the Investors Presentation. I'd also like to note that certain statements to be made today by the management team may contain forward-looking information. As such, please refer to the detailed cautionary notes on Page 2 of today's presentation, as well as those included in the Q1 2021 MD&A. On the call today, we have Jody Kuzenko, President and CEO; as well as Andrew Snowden, CFO. Following the presentation, Jody and Andrew will be available for the question-and-answer period. This conference call is being webcast and will be available for replay on our website. This morning's press release and the accompanying financial statements and MD&A are posted on our website and have been filed on SEDAR. Also, please note that all amounts mentioned in the call are in U.S. dollars unless otherwise stated. I'll now turn the call over to Jody.
Jody Kuzenko: Thank you Dan and good morning to all on the line. Welcome to the Torex Gold Q1 results call. As was started last quarter we will again be using a slide deck to step you through the key highlights of the quarter. This deck and all related disclosure has been posted to our new website launched just this week. It has a new look, it's user friendly, it's investor friendly, and I would encourage all of you to visit it. In terms of the agenda for the call I will provide a brief reminder of the strategic plan we are working to, then I will step you through the key business and operational highlights for the quarter, I will spend some extra time on ESG this quarter given that we just released our annual responsible gold mining report, then over to Andrew Snowden for some detail on the financials, and after that I will provide a progress update on our critical path project and close with some commentary relating to our most recent news about the ongoing Board refresh. Dan mentioned the Safe Harbor language so I will take you right through to Slide 4. This slide sets out the five pillars of our strategic plan and it hasn't changed. I will take you through the pillars individually. We keep it in here to provide the context for the quarterly updates as against the plan. The on steady state progress against all pillars we issued a number of press releases in the quarter about various milestones achieved. On optimizing and extending ELG there are two updates of note, one we published the updated ELG [MRMR] (ph) in quarter one, showing the expected depletion of the pits but importantly showing a 15% increase in underground reserves over 2019. And as we drive to conclusion on our pushback analysis at El Limón Pitt we expect to put out three-year guidance mid-year. On de-risk and advancing Media Luna we obtained our MIA modification permit in the quarter enabling us to start on sell-side infrastructure and prepare to color the portal over the summer. On ESG excellence we announced our solar plants, we released our responsible gold mining reports, and continued with our Board refresh. And finally on valuation we further strengthened the balance sheet as we paid down the last of our debts and renegotiated our credit facility. With our total available liquidity at quarter-end standing at just over $320 million we're exactly where we want to be. In sum, we're making meaningful progress against all facets of the strategic plan. Now this next Slide sets out key financial and operational highlights. We've had a strong start to the year and are tracking well to deliver on full year production cost guides. Production at 129,000 ounces is the best ever first quarter of production on record and you can see on the bar chart on the slide the Q1 2020 achievement versus where we landed in Q1 of 2021, more than 15% improvement year-on-year. These production results were primarily driven by grade mines coming in at 3.4 grams per ton and then applying our blending strategy to get processed grade up to 3.97 grams per ton. This grade offset lower throughput at the plant, the lower throughput was driven by both extended planned maintenance and unplanned maintenance particularly in January where we took a two block shutdown. As the year progresses we expect the grades to normalize closer to reserve levels so you can expect us to transition to that targeted 40,000 ounce per month production rate. I will leave the details of TCC a second financial…
Operator: Pardon the interruption. This is the operator. We seemed to have lost the presenters. Please stay on the line as we attempt to get them back on the line. Thank you. Please stay on the line. The call will be beginning shortly. Thank you for your patience. The call will be resuming shortly. Thank you for your patience. The speakers are back online. Please proceed.
Jody Kuzenko: Thank you, Anastasia. We've had some technical difficulties there, but at Torex we're nothing if not agile. 16 months into a pandemic, I'm sure we can press on here with some technical difficulties on the phone line.  I'll pick up on Slide 5, not being sure where I dropped off with the key financial and operational highlights. We've had a strong start to the year and are tracking well to deliver on full year production and cost guidance. Production at 129,000 ounces is the best ever first quarter of production on record. You can see on the bar chart the Q1 2020 achievement versus where we landed in Q1 of 2021, more than a 15% improvement year-on-year. These production results were primarily driven by grade mines coming in at 3.4 grams per ton and then applying our blending strategy to blend up to 3.97 grams per ton for head grade to the mill. This grade offset lower throughput at the plant. That lower throughput was driven by both extended planned maintenance and unplanned maintenance, particularly in January, where we took a two block shutdown. As the year progresses we expect the grades to normalize closer to reserve levels, so you can expect us to transition to that targeted 40,000 ounces per month production range. I believe the details of total cash costs and AISC and financial metrics to Andrew, but will point out that our balance sheet is in excellent shape. Per our plan, we're now debt free and cashing up ahead of Media Luna closing the quarter with $172 million in the bank. These next two slides are on ESG as it remains a key area of focus for the company, continuing our excellent work on the ground and working on our disclosure to improve our rating. Three specific attention points on this slide; one, COVID continues to be an issue in Mexico with case counts and death counts still on the rise and vaccination distribution progressing slowly. Our strategy of multiple layers of controls, including aggressively screening for symptoms prior to site arrival, hasn't kept our site COVID free, but it has enabled uninterrupted operations. Two, our excellence in safety continues with no lost time injuries in the quarter. And thirdly, we've landed on two external standards against which we will assess our performance on key ESG risks. Those are noted in the bottom right hand quadrant of the slide. The World Gold Council's responsible gold mining principles were in the self-assessment phase on those now, and we became signatories to the International Cyanide Management Code. We're partway through executing our plan to achieve full compliance. And on the issue of enhanced ESG disclosure, just this week we released our 2020 responsible gold mining report. It's posted on our new website where we have a dedicated ESG reporting portal. Some of the key highlights are noted on this slide. I won't take you through all the numbers and stats, but thematically there are four key areas I'd like to point out. One is a clear commitment to Mexico and its people with a substantial contribution to the economy. Our employee base is largely Mexican nationals. We have fair compensation and bonus payments and our procurement policies direct spends in country where it is feasible to do so. Our local community relations continue to thrive with our investments in community infrastructure and development agreements called CODECOPs renewed for 2021. Our relationships with our union continues to be excellent with the workforce having exercised its new right to vote for the first time in Mexican history. They voted to ratify the two-year collective bargaining agreement that was negotiated at the end of 2020. And finally, the report also spotlights our ongoing commitments to mine responsibly as it relates to the natural environment. This is evidenced by our biodiversity offsets and carbon reduction plans with the execution of the agreement to install an 8.5 meg solar plant. Now taking us to Slide 9, which sets out some detail on our operational performance. We plan to show these metrics every quarter. I think the overriding theme here is the consistency and stability of the operation. I opened with a summary of Q1 production, we're on pace to achieve guidance with strong grades helping to offset slightly lower throughput from the plant quarter-over-quarter. I should also point out that we achieved two production related records in the quarter; one, the underground team continues to show with the combined Sub-Sill and ELG is capable of delivering just over 1300 tons per day. And two, after a difficult shutdown in January the process plant recovered with a very strong March setting and building record at 13,810 tons per day and 97% uptime, which is world class. While it's not realistic to sustain this level every month given the needs to do planned maintenance, both records are, in my view, indicative of the overall capability of the assets. And you can see in the bottom right quadrant of the slides that our operating and unit cost performance coupled with a strong gold price, resulted in a robust AISC margin of 52% during the quarter. This next slide is about unit costs, it is another one you'll see every quarter. The team is working hard to contain costs across the board, with a view to maintaining margins and offsetting inflationary pressures and COVID pressures. Two items of note on this slide; one, processing costs were up this quarter over last year for two reasons, the increased presence of soluble iron in the feed, which is a key consumer of cyanide. And this was exacerbated in the quarter by a temporary suspension of oxygen deliveries through January and February, following a government mandate that all oxygen be diverted towards medical needs given the pick-up of COVID cases post the holiday season. I'm pleased to say that our procurement team has found alternative sources of supply and oxygen deliveries resumed in March. The other item worthy of note on this slide is that last bar, PTU or our Mexican legislative bonus is up over full year 2020, driven by higher profitability during the quarter. I'll now turn the call over to Andrew for a review of financial performance.
Andrew Snowden: Perfect. Thank you, Jody and good morning everyone. Back in February, I was discussing the great end to 2020 we had and now I'm here again walking you through another solid financial quarter with our Q1 results. As you can see from Slide 12, we generated over $230 million of revenue this quarter, driven by our record Q1 production of 129,000 ounces to realized price of $1,778 an ounce. This performance delivered a $153 million of EBITDA as you can see on the top segment on this chart. Another strong quarterly performance, slightly down on the levels we saw in the second half of 2020 due to softening in the gold price, partly offset by higher capitalized stripping this quarter. Just on that last point, in the quarter we capitalized around $18 million of stripping, this is up $16 million in Q4. The stripping we have seen in these past couple of quarters, it's been higher than average levels as we've been preparing two new sub pits in Guajes for mining in 2021. As a lot of this work has now been done, I expect capitalized stripping to decline now through the balance of the year and our TCC and AISC guidance for the year are still good numbers. As I flagged on our year-end earnings call, this strong beat the top performance doesn't flow all the way through to cash flow as we paid the disproportionate amount of taxes and royalties in Q1. I'll talk about that more on next slides. Moving now to Slide 13, you can see here our cash balance decreased by $34 million during the quarter, and this is due to three key factors; taxes, capital, and debt. Firstly, on taxes, you can see we spent $66 million in the quarter on taxes. This includes $30 million for 7.5% mining tax related to the 2020 year, 10 million as a final true-up income tax payment following the filing of our 2020 tax returns during the quarter, and finally 26 million in tax instalments for 2021. These tax instalments are paid monthly and I expect to average about $7 million to $8 million a month through the year. These installments were a little higher than that this quarter, and that was due to the strong financial performance. Secondly on capital, we invested $29 million in non-sustaining capital during the quarter, primarily related to Media Luna as we advance the Guajes tunnel under Media Luna, infill drilling, and advance feasibility study for the quarter. We also spent $26 million dollars in sustaining capital, which primarily represents the 18 million of capital stripping I referenced earlier. And thirdly on debt, we paid off the final $40 million outstanding on a debt facility in the quarter and then are now debt free and I'll spend a bit more time talking about our balance sheets on the upcoming slide. I do also want to point out that one of the drivers behind the negative working capital change that you see on this slide in Q1 is the increase we saw in our VAT receivables through the quarter. I don't have any concerns with collection here, we're just working through some standard administrative processes with the Mexican tax authorities, which terrific measures across the country don't help with and expect collections to start flowing again in July, if not before. Turning now to Slide 14, the big takeaway here is just the strength of our balance sheet, zero debt on $150 million of availability on our new flexible revolving credit facility provides us with 322 million of available liquidity at the end of the quarter, a comfortable place to be with Media Luna ahead of us. As you know, we have a few key decisions to make on Media Luna over the next few months. Once we have line of sight on the quantum and timing of our capital, we will be in a position to determine the right funding approach, which potentially could include a prudent level of debt and the right approach to capital allocation. In terms of priorities our focus continues to be first on supporting the Media Luna build followed by other growth opportunities, which could include M&A, followed by potential returns to shareholders. Finally, on Slide 16 here, I do want to provide a reminder of the seasonality of our cash flow generation, which is typically back half weighted. I walked through this slide in detail on our year-end earnings call, so I won't repeat that detail again. It's a high level in Q1, we see the higher tax and royalty payments where certain payments are only made annually and you saw this in our Q1 results we released this morning. And then in the second quarter, you see the annual payments of our Mexican Profit-Sharing or PTU. The payment related to 2020 performance of approximately $30 million will be paid in May, so I just paid next week. Finally, I will just highlight that some of you may see news on a recent Mexican tax reform related to this PTU profit sharing payment, now became effective in April albeit with a three-month transition period. We don't expect any impact on this change on our 2021 unit cost guidance. And with that, I'll turn the call back over to Jody.
Jody Kuzenko: Thanks Andrew. Taking you now to Slide 17, I'd like to walk you through an update on our key projects. On the ELG side our study on the El Limón Pitt laid back is narrowing into two final options for evaluation. While we're not yet concluded, we're coalescing around something small in or about the six months of production range, spending just enough capital to provide us with higher grade during that late 2023-2024 transition period. Our [indiscernible] to the bottom of the ELG underground is proceeding. Difficult ground conditions to contend with has meant that we are advancing slowly. We're now 100 meters in, we expect to be in good ground at about another 90 to 100 meters by the end of June. And the revised plan for arrival at the current bottom of ELG Sub-Sill is Q1 of 2022. Notably, this doesn't impact production. Recall that the purpose of the portal was to reduce operating costs and open up that new platform for exploration access. On the topic of exploration, our ELG underground program for 2021 is proceeding as planned. We're focused on infill drilling during the first half of the year to bring as much into the buying plan for the 2022 technical report update as possible and then we'll turn our eyes to step out in the back half of this year. On Muckahi field testing at ELG continues. On Media Luna, the infill program continues. We have eight drill rigs churning. As of the end of April, 67 holes have been completed on the 129 hole program for 2021. You can expect us to release an updated Media Luna resource in Q2. The feasibility study is also progressing as is early works, which takes me to the photos on Slide 18. I wanted to include some pictures of where we are specifically at the Guajes tunnel. We're now at 300 meters of advance but perhaps even more important than the advance rate at this stage is that we've made excellent progress on the necessary infrastructure to enable the monorail based development method. The concrete footings have been poured, steel structure erected, the bridge conveyor is being installed. Monorail 3 and 1 has now been installed through the canopy. And our first KP95 locomotive assembly has been installed and commissioned with the remaining three in queue. All of this is necessary to hit the targeted development rate of 10 meters per day starting through the summer. With the projects well on track and the future of Guerrero operations coming into sharper focus, we're also continuing with our work on the refresh of our current Board. We recently announced that three of our long-term Directors, Andrew Adams, Michael Murphy and Fred Stanford, will not be standing for re-election at the June AGM. As we publish our proxy circular later this month, we will announce our new slate of Directors standing for nomination. And I just want to close my commentary today with a heartfelt thanks to Andrew, Michael and especially Fred for all they've done to make Torex into the company it is today. Their courage and their commitment to build a world class asset on the foundation of a truly unique company culture has positioned us well for the next decade of mining and excellent future. So our hats off to them. And with that said, I will turn the call back over to the operator for any questions.
Operator: [Operator Instructions]. The first question comes from Ryan Thompson with BMO. Please go ahead.
Ryan Thompson: Yeah, hi Jody, Andrew, and Dan. Thanks a lot for the updates. Just a couple of quick questions from me. First, we've seen a lot of talk in headlines recently about inflation. Can you just maybe walk us through if you're seeing any inflationary pressures both just on operating costs at ELG and also as you work through the engineering and budgeting process on the Media Luna feasibility study?
Andrew Snowden: Sure Ryan, this is Andrew here, I'll take that question. So look, overall, we are managing our inflation pressures very well, so we're not seeing any significant increase in our overall cost base in the unit cost guidance that we provided at the beginning of the year. It's still good guidance and good forecast, and I expect that we will be well within that range and comfortably within that range.
Jody Kuzenko: In terms of Media Luna -- Ryan, in terms of Media Luna, Jody here, all of our peers are experiencing inflationary pressures on steel and lumber and raw materials and labor. We're not yet to the point of where we're seeing that, we're not opening contracts or anything like that. Yes, but we don't expect to be any different. So I fully expect as we put out the feasibility study as planned in Q1 2022 the costing will reflect some degree of inflationary pressure.
Ryan Thompson: Okay, thanks for that. And maybe just a follow-up on Media Luna. So you mentioned you advanced 300 meters of development now on the tunnel there. Can you just maybe just talk a little bit about where that sits versus your sort of internal schedule and expectations as to when you're going to access the ore body and how we should be thinking about the schedule, I know it's still early days, but just an update on that would be helpful? Thanks.
Jody Kuzenko: Yeah, we're a little bit behind on our internal schedule as it relates to the Guajes tunnel primarily driven by two factors. One, was a little bit of late delivery on steel elicited by some COVID issues. And the other was slope stabilization at the portal phase. That rough ground I talked about relating to portal three, was equally applicable to the portal start on the Guajes tunnel. We remain on track to get to the bottom of the Media Luna deposits by Q1 of 2023 and there is some slopes in that schedule. And so we feel optimistic that we'll achieve the desired advanced development rates with this monorail based sequencing, and at this point remain on track to arrive at destination Q1 of 2023.
Ryan Thompson: Perfect. That's good to hear. That's all I had. Thanks for the update everybody.
Jody Kuzenko: Thanks for the question.
Operator: [Operator Instructions]. The next question comes from Bryce Adams with CIBC. Please go ahead.
Bryce Adams: Yes, good morning. Thanks for the presentation. Might just follow on from where the last question left off, firstly. So from the Guajes Tunnel, you're about 300 meters in. The question is, when you transition to 10 meters per day, is that transition expected to be fairly rapid or would you expect some teething and some learning on that project and that the ramp up to 10 meters per day might take a little bit of time to get to?
Jody Kuzenko: Yeah Bryce, thanks for the question. I do expect some teething. It is a really intricate sequence requiring that we work in four quadrants. We have three of the monorails installed now, which enables us to work in the left, right, both top quadrants, and then stage equipment underneath that, while we get the team oriented around the work sequencing and go through any teething pains with the tech, I do expect will have a bit of a slope line. I'm looking to be at those rates by late summer, early fall. I think that's probably realistic.
Bryce Adams: Okay, thanks. Second one on the south portal, once you get started there, is that access point going to be developed back towards Guajes only or would it be a multi heading system, opening up to Media Luna infrastructure as well?
Jody Kuzenko: The south portal comes in at the top and so it's about 1.2 kilometers in from there. Once we get in there, we'll do the development at the top of that deposit. And so if we were to do anything to meet up with the Guajes Tunnel we would have to do another portal down at the bottom. And we are talking about that Bryce. And so for today's purposes, we're really focused on getting the infrastructure set off, the platform prepared, and that call or portals at the top of the deposit by the summertime, to get us in there and opened up at the top.
Bryce Adams: Yeah, I think I might have had that portal mixed up with the bottom location that was talked about. On the portal three and those ground conditions, you are 100 meters in there. It's been slow. From the disclosure, it sounds like you've been using steel sets in that decline. How far into the portal are using those steel sets and are they finished now, do you expect to continue to be installing them?
Jody Kuzenko: Yeah, we have used steel sets for the first bit and we expect to be in good ground after 90 meters. So I suspect we'll continue to use those until we hit good ground.
Bryce Adams: So how far back from the site of maintaining those steel sets?
Jody Kuzenko: Sorry, I don't know, what was the question, how far back from what?
Bryce Adams: How far back from the site, the steel sets.
Jody Kuzenko: I don't have the meters, right. I could get that to you.
Bryce Adams: Yeah, no. Last one for me is just a quick one on the ESG portal, congratulations on that getting set up. I think it is a great step forward. Just a quick question at a pretty high level, is that something that you expect to update annually or do you envisage a scenario where that portal could be updated quarterly with different ESG metrics?
Jody Kuzenko: We expect to update it far more frequently than annually Bryce. As we have material ESG information, we'll upload that to the site. For example, we're going to refresh our annual tailings report soon, that will be uploaded to the site. As the various ratings providers, MSCI, [Data Analytics] (ph), and others, as they provide updates we'll update our scores. And so you can expect that site to be interactive and updated.
Bryce Adams: Okay, great. Thanks. I will be sure to get back there and check it frequently. Thank you.
Jody Kuzenko: Yeah, thank you Bryce.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating and have a pleasant day.